Operator: Good afternoon, and welcome to WEC Energy Group's Conference Call for Second Quarter 2025 Results. This call is being recorded for rebroadcast. [Operator Instructions] In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately 2 hours after the conclusion of this call. Before the conference call begins, please note that all statements in the presentation, other than historical facts, are forward- looking statements that involve risks and uncertainties that are subject to change at any time. Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in conjunction with the statements, factors described in WEC Energy Group's latest Form 10-K and subsequent reports filed with the Securities and Exchange Commission could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share, unless otherwise noted. And it is now my pleasure to introduce Scott Lauber, President and Chief Executive Officer of WEC Energy Group.
Scott J. Lauber: Good afternoon, everyone, and thank you for joining us today as we review our results for the second quarter of 2025. Here with me are Xia Liu, our Chief Financial Officer; and Beth Straka, Senior Vice President of Corporate Communications and Investor Relations. As you saw from our news release this morning, we reported earnings of $0.76 a share for the second quarter of 2025. We remain on track to deliver another year of strong results in line with our 2025 earnings guidance of $5.17 to $5.27 a share. This, of course, assumes normal weather for the remainder of the year. We continue to target a 6.5% to 7% long-term compound annual earnings growth rate supported by a robust capital plan and strong economic growth in our region. In Wisconsin, the unemployment rate stands at 3.2%, continuing a long-running trend below the national average. And as we've discussed, we're continuing to see strong and significant economic development in our region, especially along the I-94 corridor between Milwaukee and Chicago. Just last month, Yaskawa, one of the world's largest manufacturers of industrial products and robotics announced it's moving from -- the company's U.S. headquarters to Wisconsin and consolidating manufacturing operations here. The company stated it plans to invest approximately $180 million to build this new campus, which is expected to create 700 jobs. Work continues on Microsoft's data center campus south of Milwaukee. We remain confident in our 5-year demand growth forecast of 1.8 gigawatts to serve the I-94 corridor. In addition, we're seeing progress for a large data center development just north of Milwaukee. Vantage Data Centers signed on to develop approximately 1,900 acres. While the project is in the early stages, the site has the potential to reach 3.5 gigawatts of demand over time. As a reminder, this project is not included in our current demand forecast. These are just samples of the economic growth that we are seeing in our region. And just recently, the Wall Street Journal reported that ADP ranked Milwaukee second among metro areas in the U.S. for college graduates landing jobs. Turning to our capital plan. During the second quarter, we continued to move forward on major projects. As you know, it's the largest 5-year investment plan in our history, totaling $28 billion in supporting economic growth and reliability. It's based on projects that are low risk and highly executable. Many of you have asked about the potential impact of the One Big Beautiful Bill Act. On the wind and solar front, we are actively working on completing the safe harboring of the renewable projects in our 5-year capital plan under the current treasury guidance. We are awaiting further guidance from the Treasury Department to reflect the executive order issued in early July. As these rules become available, we will, of course, continue to work with our developers to achieve safe harbor. Now let me give you an update on projects currently underway. In May, the Public Service Commission of Wisconsin unanimously approved our applications to build modern, efficient, natural gas generation and storage. We have started construction on 1,100 megawatts of simple-cycle combustion turbines with an expected investment of $1.2 billion. These are located at our Oak Creek Power Plant site. Also, near our existing Paris Generation Station, we plan to invest approximately $300 million for 128 megawatts of RICE generation. To support the Oak Creek site, just this month, we received verbal approval to build a 2 Bcf storage facility for liquefied natural gas. We expect the investment is approximately $456 million to complete this LNG facility by the end of 2027. These are critical projects, are part of our all-of-the-above approach to support reliable and affordable energy for our customers. To that end, we announced in June that we plan to extend the operating lives of units 7 and 8 of our Oak Creek plant through 2026. These are coal units that continue to provide essential capacity at times of high energy demand on the hottest and coldest days of the year. In addition, we expect it will be needed to meet tightened energy supply requirements in the Midwest power market. Progress continues on our renewable projects as well. In June, the battery portion of the Paris Solar-Battery Park came online, providing 110 megawatts of storage. This is Wisconsin's first large-scale battery storage project. As a reminder, we are the 90% owner. Overall, we are confident in our ability to execute on our capital plan. Now turning to the regulatory front. We currently have no active rate cases. In Wisconsin, our very large customer or VLC tariff remains with the Public Service Commission for review. As we discussed last quarter, the tariff is designed to meet the needs of our very large load customers while protecting all of our other customers. The tariff would provide for a fixed return on equity of 10.48% and an equity ratio of 57%. The terms of the agreement are 20 years for wind and solar and the depreciable lives for natural gas and battery storage assets. We work with our very large customers in designing the tariff, including the financial parameters, and we believe the tariff is a key component to help make Wisconsin a prime spot for data center investments. We expect a commission decision by the second quarter of next year. In Chicago, we are actively mapping out engineering and permitting plans and coordinating with the city for our pipe replacement program. Recall that the Illinois Commerce Commission directed us to focus on retiring all cast iron and ductile iron pipe with a diameter under 36 inches by January 1, 2035. We expect that approximately 1,100 miles of older pipe will be needed to be replaced. While planning is underway, our work continues. In fact, this April, we retired the oldest pipe in the system, a gas main that had been in service since 1861. Next up, Xia will provide you with more details on our financials.
Xia Liu: Thank you, Scott. Our second quarter 2025 earnings of $0.70 -- $0.76 per share reflects a $0.09 increase compared to the second quarter of 2024. Our earnings package includes a comparison of second quarter results on Page 15. I'll walk through the significant drivers. Starting with our utility operations, earnings were $0.16 higher versus the second quarter of 2024. Weather positively impacted quarter-over-quarter earnings by approximately $0.04. Compared to normal conditions, we estimate that weather had a $0.02 favorable impact in the second quarter of 2025, compared to a $0.02 negative impact in the second quarter of 2024. Rate-based growth contributed $0.12 more to earnings. Additionally, timing of fuel expense, tax and other items added another $0.07. These positive drivers were partially offset by $0.05 from higher depreciation and amortization expense and $0.02 from higher day-to- day O&M. As shared before, we still expect for O&M expense to grow 8% to 10% for the full year when compared to actual O&M in 2024. As a reminder, this year-over-year growth is largely driven by a few factors, including our continued focus on commission-approved vegetation management, new assets placed in service and measures we took last year to offset the mild weather impact. And let me also give you some color on our weather-normal retail electric delivery. Excluding the iron ore mine, compared to the second quarter of 2024, we saw a 1.1% growth in retail electric deliveries, led by the large commercial and industrial segment, which grew 1.9% quarter-over-quarter. The residential and small commercial and industrial segments grew 0.4% and 1%, respectively, when compared to the second quarter of last year. Overall, we are on track for our annual growth forecast. Remember, we expect our annual electric sales growth to be 4.5% to 5% for the period 2027 through 2029. Turning to American Transmission Company, capital investment growth contributed an incremental $0.01 to Q2 earnings compared to 2024. And at our Energy Infrastructure segment, earnings decreased $0.03 in the second quarter of '25 compared to the second quarter of '24. Higher production tax credits were more than offset by other factors including a loss from storm damage recognized in the second quarter of 2025. Next, you'll see that earnings from the corporate and other segment decreased $0.03 driven by higher interest expense. In terms of common equity, we issued about $425 million through the first half of this year via our ATM program as well as the dividend reinvestment and employee benefit plans. We are on track to issue a total of $700 million to $800 million for this year. This is part of the $2.7 billion to $3.2 billion total common equity we expect to issue through 2029 to finance the capital investment. Consistent with what we shared before, as we refresh our capital plan this fall, we continue to expect any incremental capital will be funded with 50% equity content. Finally, let me comment on guidance. As Scott mentioned earlier, we are reaffirming our 2025 earnings guidance of $5.17 to $5.27 per share, assuming normal weather for the rest of the year. We are also reaffirming our long-term EPS CAGR of 6.5% to 7%. For the third quarter, we're expecting a range of $0.74 to $0.80 per share. This accounts for July weather and assumes normal weather for the rest of the quarter. We look forward to updating you in the fall as we refresh our capital and financing plan. With that, I'll turn it back to Scott.
Scott J. Lauber: Thank you, Xia. Finally, a quick reminder about the dividend. Our annualized dividend stands at $3.57 per share. We continue to target a payout ratio of 65% to 70% of earnings. We're tracking in that range now and expect the dividend growth will continue to be in line with the growth in our earnings per share. Overall, we're optimistic about continued growth in our region and our company's future. Operator, we are now ready for the question-and-answer portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Nicholas Campanella with Barclays.
Nicholas Joseph Campanella: So great to see the economic development activity, especially with Vantage, and I was just wondering if you can maybe talk about the 3.5 gigs of demand and how you're thinking about procuring generation for that? Just where does the system stand today in terms of being long or short capacity in energy? And just given the lead time to build new assets, just how are you kind of thinking about being able to supplement that demand with either a bilateral contract or maybe a new-build asset?
Scott J. Lauber: Sure. No, great question. And we are actively working with our large customers as that demand looks, and Vantage, that site longer term is 3.5 gigawatts that site capacity can be there. We're looking now what is the short term and working with them with our plans. And they've said they're trying to get to about 1.3 gigawatts by the end of '27. So we're actively working with them. And we mean that is working on purchase cancellation agreements with them and how do we get orders in place. So we're looking at a variety of items here because the system here is very tight. As you can see, we extended the coal units for another year because of the site capacity, and those coal units will be retired as we bring on those new CTs, but -- we're looking at all of the above, but our generation planning team is working -- actively working with all our large customers to make sure we meet their demand needs.
Nicholas Joseph Campanella: Okay. So still TBD. We're looking for actually any update there.
Scott J. Lauber: Correct. And we'll have more on our -- yes. We'll have more on our third quarter call on our capital plan.
Nicholas Joseph Campanella: Fantastic. Fantastic. And then maybe as we kind of think through on that capital update, the CAGR, we all love the precision, but it is probably one of the thinner ones out there across the sector and just there is an upward bias to capital. I know that you got to finance that, but how are you just thinking about whether that puts you higher in the plan or not? And how you're thinking about the growth rate as we get to the next quarter update?
Scott J. Lauber: That's a great question and very -- like you said, we're really excited about the economic development we're having in the region. And it's not just the large -- very large customers. It's also what we're seeing in -- throughout the region with housing and other developments. So we're pulling all that together right now. And Xia and I and the rest of the team will be looking at our growth pattern along with this fall as we present our updates to the Board, and we'll roll it out in our third quarter call. But we're feeling good with what the region is providing us.
Nicholas Joseph Campanella: One last one, if I can, just the large load tariff docket. Is there any -- just based on the time line for that proceeding, would you have clarity on that ahead of the third quarter call? Like I guess, could you settle that proceeding? Or do you expect because it's a new tariff that it goes through kind of a fully litigated outcome at the commission?
Scott J. Lauber: Well, I'll answer it twofold. We kind of settled it because we walked in with all the large customers and all agreed that this is a proper tariff, and I think the commission is going to take time, as they should, along with all the intervenors to make sure the processes and how we plan on allocating costs so that make sure that the very large customers are paying their fair share. So I don't know if it's really contested or just being actively reviewed. But I'd say we pretty much have a settlement at this point with our very large customers that it's reasonable and appropriately paying their fair share of the cost. So it's more of a process now to go through and people can have the opportunity to ask questions on the processes and how we look at things. And the commission has a lot in front of their plate that we've asked them to approve as we continue to build out the infrastructure here in Wisconsin.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with Jefferies.
Brian J. Russo: It's Brian Russo on for Julien. Just a follow-up on the CapEx update. So I think the early indications are 1.3 gigawatts for Vantage in 2027. I suppose that could ramp up closer to that 3.5 gigawatts, maybe towards the latter half of that plan? Or is that still too early in the development process?
Scott J. Lauber: I'd say it's really early in the development process yet before we can work with that. We're working with them right now every week on providing their first load and working with them for the rest of the time frame here. So early yet in that process, but we'll have some good numbers in our 5-year plan as we pull it together.
Brian J. Russo: Okay. Great. And can we talk about some of the other CapEx opportunities you have as you roll forward or update in the fall, first on the Peoples Gas PRP. And then also on the ATC upside CapEx. I think it would be tied to MISO Tranche 2.1, and you could have some early CapEx on that in 2030.
Scott J. Lauber: Sure. So initially, you asked about Peoples Gas, and you saw we retired a pipe from 1861. So there's a lot of pipe there that they asked us to retire by 12/31/2034, about 1,100 miles of that older pipe. We're going through a process, and we're starting to retire some, as you saw in our prepared remarks, that's going to take a while to ramp up. So we get to about a run rate -- I think in about 2028, it will be about a little over $500 million in order to be completed in that time frame based on our assumptions today, and we're fine-tuning those assumptions as we roll out the fall capital plan. So right now, as you recall, we only put $90 million a year in our capital plan. So this will take a couple of years to ramp up, but it may be up to that $500 million a year. So there's some definite capital -- additional capital in the 5-year plan coming related to that. And then as you look at American Transmission Company, there's a couple of items. We will be factoring in the remainder of that Tranche 1. They'll be looking at Tranche 2. As you said, it's a big capital plan in Tranche 2. The other driver, as you think of the capital plan is the economic development when you think of substations and other growth that's going on and hooking up the generation and renewables. So I haven't seen where that capital plan will go, but I imagine it'll be slightly higher than what we saw before. So we'll see some growth in the ATC capital plan along with the gas side of the business. And then, of course, we'll look at our generation needs to meet this build-out in Wisconsin.
Brian J. Russo: Okay. Great. And just one more question. I'm curious, will the -- the Point Beach PPA and also, I believe, it's Port Washington Unit 1 expires in July 2030. Will those 2 items need to be contemplated and assessed in this upcoming CapEx update?
Scott J. Lauber: On the Port Washington, we are actively looking at the lease in that item and how we look at that. In fact, we are looking at opportunities, is there even an opportunity to get more power out of the Port Washington site. So we're in the analysis of that, and that will be updated in our 5-year plan. And then on the Point Beach, we've had good discussions with NextEra. They've been really productive. I expect we'll have something here by the end of the year. So we'll see if we'll get it -- hopefully, we get in our 5-year plan or by the end of the year, but things have been moving along really well. So more to come on that.
Operator: Your next question comes from the line of Michael Sullivan with Wolfe Research.
Michael P. Sullivan: I wanted to just unpack the load growth a little bit more. So you spoke to what you're seeing on the Vantage side. I guess how do we assess what you need tangibly to include it formally in your plan? And then is there anything else that's kind of crept into the plan on top of the 1.8 gigawatts that you've got embedded currently?
Scott J. Lauber: So when you look at Vantage, we will -- I mean I feel pretty comfortable we will be factoring something in our 5-year plan as it relates to Vantage, what they're moving and from Cloverleaf now to Vantage. So I feel good we'll put something in our 5-year plan as it relates to Vantage. And anything else in the economic development, like we said, we've got a lot of industries that have come into Wisconsin. In our prepared remarks, we had a couple. There was an article in the paper the other day about 3 or 4 other companies adding 200 to 500 jobs. So quite a bit of growth in Wisconsin. But I think when you look at it, we're also seeing good residential growth. I saw housing starts, starting construction in 2024 and 2025, about 4,000 of them in just 2 counties here. So good growth that we're seeing in Southeastern Wisconsin. So all that will be factored into our load forecast.
Michael P. Sullivan: Okay. Great. And then sorry, just another one on the supply side. Do you have the ability to push out any of your planned coal shutdowns any further? And then on the new build side, are you still thinking mostly CTs? Or at some point, are you going to have to add a new CCGT?
Scott J. Lauber: Sure. And right now, we have CTs in the plan. We're probably looking at a combined cycle as we continue to evolve here with the additional demand. So that's more to come potentially in our 5-year plan here. On the coal, I mean, we extended Oak Creek 6 and -- or 7 and 8. Those 2 plants, in fact, have to be retired because we're using the same interconnect for the new CTs. And actually, we really couldn't extend them much longer. We really took the time and spent looking at the plants to see if we would be able to limp them along for another year without making major capital investments. If you want to extend them longer, you would need a lot of capital investments. So that one, we're not going to be able to extend anymore. And then when you think about the other plants, we really have them kind of running only a couple of them like 2030, 2031. So we'll evaluate where the EPA rules go. But remember, our big workhorse is the Elm Road Generating Station, the power of the future units. We're in the process of converting those to natural gas. So those are designed that eventually we'll be able to run them on coal or gas. The key is we don't have any -- we're not losing any capacity with that. And we're also looking at gas for the Weston 4 unit. So we're not losing any capacity. It's just running it in a little cleaner fuel. So more to come this fall, but that's kind of our thought process when you think about the big coal units.
Michael P. Sullivan: Okay. That's really helpful. And just a quick one for Xia. The Q2 storm damage that you booked, just more color on that.
Xia Liu: Sure. We've had several wind storms impacting the Texas solar facilities in the past several years. So in the quarter, we came to the conclusion that we couldn't just rely on insurance recovery for the storm damage. So we needed to take some accounting entry, but we're working actively with the insurance providers, contractors and parts manufacturers to fully restore the lost capacity. So as we continue to make progress there, we could recover some of the damage, the loss we recognized in the quarter. So more to come.
Operator: Your next question comes from the line of Andrew Weisel with Scotiabank.
Andrew Marc Weisel: Scott, I think you said in your opening remarks, you're still working the safe harbor equipment to qualify for renewable tax credits under the OBBB. How much of your plan is already safe harbored? And to whatever degree you might not qualify, whether because you're unable to safe harbor equipment or maybe potential challenges related to the executive order, what would be your backup plan? And then as a follow-up, is there anything about the OBBB change your thinking about WEC Infrastructure or the opportunity to build renewables outside of the utility?
Scott J. Lauber: Sure. Good question. And we've got several vintages of safe harboring in our plan. We've got some all the way back to 2023, some in '24. We're actively there in '25. We probably have 40% to 50% under the already safe harbored and working on the rest. We really want to see what those new treasury requirements are to make sure we're in compliance. We don't have any surprises in the future. Now when you think of that in the future, this is really saving money for customers, but we really need the energy and a lot of capacity and energy to supply the demand growth that we're seeing on the system. So we'll evaluate is combined cycle makes sense? Is there other ways to provide it? Batteries, of course, in fact, batteries provide ITC even longer into the plan. And batteries, the first battery we got up and running that we talked about was very beneficial during the hot spell we saw in June. So more to come as we analyze it. And of course, we'll look at every piece of information that comes in. On the WECI side, you saw we have so much growth in utilities. So we put our last WEC Infrastructure project in -- earlier in the year, and now we're really concentrating on all the growth and generation of renewables and natural gas and LNG that we need in Wisconsin to support the Wisconsin economic development.
Andrew Marc Weisel: Okay. Very good. Then lastly, can you elaborate on the extending the useful lives of the Oak Creek coal units? Was that a function of stronger-than-expected near-term demand or any delays in construction of the new supply coming online or possibly any political pressure or involvement like some of your neighbors have seen? Just hoping you can elaborate on that. And is there any CapEx related to that? I imagine that would be coming either this year or next year. But if you could comment on that, please?
Scott J. Lauber: Sure. And we were looking at this quite a bit as we look at how do we run the units during the year and could we get some more hours out of them without significant CapEx. So we don't anticipate significant additional CapEx to run those. And what really -- with the final decision, we saw the MISO prices come out in the summer. The summer demand, they were a little higher. So we decided let's really pull the trigger here and extend those lives. We did it on our own. There was no political questions or discussions at all on what we should do. But we looked at what makes sense in the region here specifically when we saw those MISO demand for the summer. Just to make sure everyone understands, we had these in our rate case through 2025, now we're extending them into 2026. So going forward in '26, the rate order kind of contemplated this that if we had shut them early for some reason or extend the lives, we have escrow accounting for the O&M expenses. And of course, the fuel, we're working with our fuel team and our annual fuel filing to factor in these coal units into that for that added capacity. So it was really a decision we've been watching very closely and with the warm spell in June and the MISO prices, it came to an easy decision.
Operator: Your next question comes from the line of Carly Davenport with Goldman Sachs.
Carly S. Davenport: Maybe just wanted to get the latest pulse check on the Microsoft ramp-up of activity at the data center site and just how you're thinking about the opportunity with them above and beyond what is baked into the current 5-year plan?
Scott J. Lauber: Sure. And I -- we talked to Microsoft quite a bit. I can't reveal the details of our discussions, but that's why we're really comfortable with what we currently have in that Southeastern Wisconsin region with what Microsoft is doing, plus the other economic development that supports that 1.8 gigawatts. I drive by the site a couple of times a month because I'm real close there. I mean a lot of activities going on, a lot of movements going on. So they're still developing and growing. And when you think about the potential deal, there's dirt and land being moved in about 1,360 acres, and then they own another 500 acres just north of that site and another 200 acres, a couple of miles away in Kenosha. So I think there's a lot of future opportunities there as they continue or as they bought that additional land earlier in the year. So looking forward to it, and we'll update our plans this fall and continue to work with them to develop what the site and those other sites can provide.
Carly S. Davenport: Great. And then I just wanted to follow up on some of the questions earlier on the Vantage site. Just with the tightness that you mentioned in the market currently and as we think about the supply chain queues for gas units, for example, being quite lengthy. Do you think that, that end of 2027 time frame for their power needs is achievable? And kind of just help us think about what levers WEC has available to pull to sort of meet that demand in what seems like a fairly short time frame relative to some of the other projects that we're seeing across the U.S.
Scott J. Lauber: Sure. And we've been working with Cloverleaf, now Vantage for quite a while here. And our planning team are pulling together multiple ideas on what to do. I don't want to really reveal anything yet until we get to our 5-year plan. But we do have a plan, and we're actively engaged in executing on that plan. More to come on it, but we feel we can deliver the load.
Carly S. Davenport: Great. We'll keep in tune there.
Operator: Your next question comes from the line of Paul Fremont with Ladenburg.
Paul Basch Michael Fremont: Congratulations on a great quarter. I wanted to follow up a little bit on Carly's question. The -- I guess, [ Mount Washington Site 1 ] for Microsoft is under construction. Are any of the other 3 identified sites have they begun construction? And has Microsoft updated at all with respect to the pause that it announced in January?
Scott J. Lauber: Sure. And the other 2 sites, I have not -- I haven't seen any construction on those starting yet. They're really mainly concentrated at 1,300 acres. So there may be some work that's happening behind the scenes, but I haven't physically seen it. But we've been working with them. They haven't talked at all about a pause or not a pause. I know dirt is being moved on all 1,300 and some acres, and I really pay attention to the forecast that they give us, and I have confidence that they're going to deliver, and they're moving dirt to make it happen. So I haven't -- they haven't told us specifically about a pause or unpausing something, but I can tell you that activity is happening on the site. All right. Well, thank you, everyone. That concludes our conference call for today. Thank you for participating. If you have any more questions, please feel free to contact Beth Straka at (414) 221-4639.
Operator: Thank you again for joining us today. This does conclude today's conference call. You may now disconnect.